Operator: Good afternoon, and welcome to the TaskUs Second Quarter 2021 Investor Call. My name is Josh and I will be your conference facilitator today. At this time, all lines have been placed on mute to avoid background noise. After the speakers remarks, there will be a question and answer period. [Operator instructions.] I would now like to introduce Barry Hutton, Managing Director of Investor Relations. Barry, you may begin.
Barry Hutton: Good afternoon. And thank you for joining us for the TaskUs second quarter 2021 earnings call. Joining me on the call today are Bryce Maddock, co-Founder and Chief Executive Officer at TaskUs; and Balaji Sekar, our Chief Financial Officer. Full details of our results and additional management commentary are available in our earnings release which can be found on the Investor Relations section of the website at ir.taskus.com. Please note that this call will be simultaneously webcast on the Investor Relations second of the company's corporate website. Before we start, I would like to remind you that the following discussion contains forward-looking statements within the meaning of the federal securities laws including but not limited to statements regarding TaskUs future or financial results and management's expectations and plans for the business. These statements are neither promises nor guarantees and involve risk and uncertainties that may cause the actual results to differ materially from those discussed here. You should not place undue reliance on any forward-looking statements. Factors that could cause actual results to differ from the forward-looking statements can be found in our prospectus dated June 10, 2021 filed with the SEC on June 14, 2021, which is accessible on the SEC's website at www.sec.gov and also available on our website at ir.taskus.com, as may be supplemented in subsequent periodic reports we file with the SEC. Any forward-looking statements made in this conference call including responses to your questions are based on current expectations as of today and TaskUs assumes no obligation to update or revise them whether as a result of new developments or otherwise, except as required by law. The following discussion contains non-GAAP financial measures for reconciliation of each of these non-GAAP financial measures to the most directly comparable GAAP metric, please see our earnings press release which is available in the IR section on our website at ir.taskus.com. Now, I will turn the call over to Bryce, co-Founder and Chief Executive Officer of TaskUs.
Bryce Maddock: Thank you, Barry. Good afternoon everyone, and thank you for joining us. It's a bit surreal to welcome you all to our first ever quarterly investor call as a public company. Before we begin, I want to take a moment to thank our team mates around the globe who continued to show up day and night to deliver for our clients. Today would not be possible without each of you. I also want to thank our clients, partners, and new investors for joining us on this journey at helping us to complete a very successful high tailing June. All of this has taken place against the background of an ongoing global pandemic. At TaskUs, the health and safety of our team mates and the communities we serve were main, our top priority. TaskUs is committed to paying for the vaccination of every TaskUs team mate and their family members. I'm proud to report that in Q2, we began facilitating vaccinations for our team mates in India and we expect to do the same in the Philippines in the third quarter. As of June 30th, 2021, approximately 91% of TaskUs team mates around the globe are working from home. My deepest sympathies go out to our team mates and their families who've been affected by this pandemic. Despite the losses and tragedies, many of our teammates have endured, they delivered a remarkable performance in our first ever public quarter. In Q2, our team delivered strong growth and profitability. Our second quarter revenue grew 57.4% year-on-year to a $180 million. It's important to note that this growth is completely organic just like all of our growth today. Our second quarter adjusted EBITDA grew 67.3% year-on-year to $44.1 million on adjusted EBITDA margin of 24.5%. Since this is our first call together and we've got many listeners who are just getting to know TaskUs, I'm going to provide a brief overview of our business before going a bit deeper into our Q2 results. TaskUs was founded in 2008. That year, my best friend Jasper Weir and I had just graduated from college into the middle of the worst recession in recent memory. Struggling to find jobs, we decided to invest our combined lifesavings to launch TaskUs. While all of the major competitors in our industry were occupied serving traditional Telco clients, we made the decision to focus 100% of our efforts on the emerging digital economy. Most TaskUs clients have three things in common. They are truly customer obsessed, they're growing faster than nearly every other company in history and their success is like a massive operational challenges, they can put their customer experience at risk. That’s where we come in. TaskUs provides the specialized services these companies rely on to steal their business and deliver for their customers. Today, we provide three primary specialized services: digital customer experience; content security; and artificial intelligence operations. We've been fortunate enough to be the chosen outsourcing partner of many of the companies that have to find this era of digital innovation which has enabled us to grow revenue organically for at a 60% CAGR from 2017 to 2020, and achieved an average net revenue retention rate of a 125% from 2018 to 2020. The market opportunity in front of us is simply massive. The total addressable market across the specialized services we deliver is over a $100 million and demand for some of these services is going up to 50% annually. So, we are just getting started. We have five areas of focus that enable us to drive consistent above-market growth and profitability. The first, is our current clients who are growing extremely fast and accelerating their outsourcing spend. The second, is introducing new specialized service offerings. The third, is expanding our global delivery footprint. The fourth, is adding new clients. Besides our current success with high growth disrupters, we're focused on big cap and supporting the digital transformation of Fortune 500 companies. The final area of focus will be M&A. while we've grown 100% organically to-date, we're exploring acquisitions that will expand our geographic and service capabilities. So, with that background, let me share a few more details on our performance in the first half of 2021 and Q2 more specifically. In the first half of the year, we closed a record amount of business from both new and existing clients. We saw significant new client wins and existing client expansions in our FinTech business, which includes digital banking clients, online exchanges and cryptocurrency providers. Our ecommerce segment had a very strong start to the year, finding four exciting new clients, we're seeing significant growth due to changes in online buying behavior driven by the pandemic. We signed a major online gaming company, one of the hottest mobile dating apps in the world and a European Health Tech provider, all of which are new clients for TaskUs. Finally, one of our most exciting new contracts came in autonomous vehicle space where our AI operations team is helping to enable the future of self driving cars. In the second quarter, we saw strong revenue growth across all of the specialized services we deliver for customers. We also saw strong revenue growth in each of the eight countries from which we deliver these services. For our two largest verticals by revenue, social media and on-demand transportation and food delivery, we saw continued double-digit year-on-year growth. Our social media revenue growth was primarily driven by geographic expansions and service additions within existing clients. Our on-demand transportation and food delivery revenue grew significantly, even when compared to an unbelievably strong Q2, 2020, in which we saw a surge of pandemic related demand from customers in the food delivery space. We continue to see very rapid growth driven by our investment in strategic vertical markets, most notably our FinTech business delivered over $10 million in sequential quarter-over-quarter growth and grew an astounding 300% year-over-year. In FinTech, we see strong demand for our specialized services in the areas of any money laundering and know your customer. Our health tech and high tech businesses grew revenues in the high double-digits. And our retail and ecommerce vertical delivered triple-digit revenue growth fueled by a strong online shopping environment and new client wins. In Q2, we saw continued revenue growth from our top two clients, while revenue concentration from our largest client continue to improve in the quarter. Our largest client which represented 32% of our 2020 revenues and 29% of our Q1 2021 revenues delivered 27% of our Q2 revenues. I'm extremely proud of what our team has delivered this quarter and this year, all this has made possible by our ridiculously good people. Now, I know that every company talks about their culture. But at TaskUs, culture is a core part of our competitive strategy because attracting and retaining world-class talent is what enabled us to deliver specialized services at scale. This has never been more important than it is today. In the face of increasing competition for talent, we are confident because of the investments we've made in our people since day one. In Q2, we continued these investments. We ensured that every TaskUs teammate benefitted from our IPO paying a cash bonus or equity award to every one of our employees. We paid for the private education of 755 of our teammates children through the TaskUs scholarship program. And we helped over 3000 Connect15 sessions. These are one-to-one video conference calls between our senior leaders and frontline teammates. This platform which was built by TaskUs to replicate the serendipitous meetings we used to have in office, randomly pairs two people for a 15 minute conversation about anything. This quarter, I got to meet a technical writer working onsite for a big tech client of ours in the bay area, a member of our software development team in India and a teammate supporting a video conferencing client from the Philippines. So, while a competition for talent has never been more intense, we are continuing to scale successfully. In Q2, we added over 4000 new TaskUs teammates and delivered an on-time hiring SLA of over 98%. Our Glassdoor rating was 4.7 stars as of June 30th. And while we have seen a slight increase in attrition from 2020, this year's numbers remain well-below those of 2019. Our team success finding upscaling new business in the first half of the year puts us in a great position to provide our first ever revenue in EBITDA guidance. And for that, I'll hand it over to Balaji.
Balaji Sekar: Thanks, Bryce. And good afternoon, everyone. I want to discuss of our financial results for the second quarter of 2021. Please note that some of these items are non-GAAP measures and the relevant reconciliations are attached to the press release we issued earlier today. In the second quarter, we earned total revenues of $180.0 million, an increase of 57.4% over the prior year. As Bryce outlined, we generate revenue from three specialized service offerings. In the second quarter of a digital customer experience business, generated $113.6 million for year-over-year growth rate of 59.2%. Our content security business grew 38.4% to deliver $43.0 million, and our AI operations business grew 95.9 percentage for revenues of $23.5 million. The total cost of services are tied to increases in headcount as we hire people who deliver specialized services to our clients. The cost of service at a percentage of revenue is not heavily influenced by the service offering mix, instead it is primarily influenced by the geographic location from which services are provided. We expect our geographic mix to be fairly stable in the near term. In the second quarter, we generated 53.1 percentage of our revenues in the Philippines, 32.7 percentage of our revenues in the United States and 14.1 percentage of our revenues from rest of the world mainly driven by our operations in India and Mexico. As a result, the incurred cost of service at a percentage of revenues of 57.7 percentage in the second quarter compared to 56.1 percentage in the prior year. And this was primarily driven by a 4.5 percentage of mutation in the Philippines Peso. And additional charges that we incurred in Q2 of 2021 to enable a virtual operating model. We expect our cost of service at a percentage of revenues to remain flat for the remainder of the year. In the second quarter, our SG&A expenses were $177.8 million, this included a $129.4 million one-time expenses for quantum shared bonus made in connection with our IPO or $6.8 million for non-recurring team-made IPO bonus and other IPO related expenses. We started to approve for stock compensation expenses in the current quarter of $5.8 million which was prorated for the period from the IPO date through the end of the quarter. For the rest of the year, we will see full quarter impact of the expenses raising to these new equity grants and of any further grants awarded between now and the end of the year. Excluding these items, SG&A for the second quarter was $35.9 million or 20% of revenues compared to $25.7 million or 22.5 percentage of revenue in the prior year. The current quarter included some public company expenses up grew since our June 11th IPO date. We will see the full quarter impact of this public company expenses in the third and fourth quarter. In the second quarter of 2021, we earned adjusted EBITDA of $44.1 million and 24.5 percentage compared to $26.4 million and 23.1 percentage earned in the second quarter of 2020. The improvement in adjusted EBITDA margin was primarily driven by the revenue growth and better SG&A efficiencies despite the negative impact of Philippines Peso appreciation. In the second quarter, our GAAP net income was a loss of $105.9 million or a loss per share of $9.14. Like I outlined earlier, this result included the $129.4 million one-time expense related to phantom shares and $6.8 million for non-recurring teammate IPO bonus and other IPO related expenses. While comparison, in the prior year we earned GAAP net income of $8 million and EPS of $0.09. included in our the GAAP net income was an income tax benefit of $7 million resulting from non-recurring deductions related to expenses incurred in the IPO, which lowered our full-year taxable income. In the second quarter of 2020, we add an expense of $1.6 million. In the second quarter, we earned an adjusted net income of $31.4 million, and adjusted earnings per share of $0.32. While comparison, in the year ago period, we earned adjusted net income of $17 million, an adjusted EPS of $0.18. Now moving on to the balance sheet. Cash and cash equivalence stood at $195.9 million as of June 30, 2021. As of December 31st, 2020, total available cash and cash equivalent was $107.7 million. Cash generated from operations was $5.8 million for the second quarter as compared to $20.5 million in the previous year. The current quarter was impacted primarily by an increase in accounts receivable which was driven by the 57.4 percentage year-over-year revenue growth. I would like to highlight two other key cash flow related items in the second quarter. We paid a pre-IPO dividend to our shareholders at that time of $50 million in April 2021, on company cash and we received growth IPO proceeds of $120.7 million in June 2021. We will use these IPO proceeds in the third quarter to settle the phantom share and non-recurring teammate IPO bonuses that they earned in the current quarter. Our capital expenditure in the second quarter was $13.3 million compared to $10.2 million in the same period of 2020. The growth in capital expenditures was primarily driven by purchases of computer equipment due to increased headcount. Our capital expenditure will continue to expand in the second half as we catch up on our facility expansion from last year and the first half of this year as part of our return to office plans. At this point, I will outline our third quarter and full-year 2021 financial outlook. For the third quarter of 2021, we expect total revenues in the range of $182 million to $186 million, representing year-over-year growth of 50.3 percentage at the midpoint.  We expect to earn Q3 adjusted EBITDA margin of 23.1 percentage to 23.5 percentage. Looking forward, we anticipate full year 2021 total revenues in the range of $705 million to $709 million, representing year-over-year growth of 47.9 percentage at the midpoint. We expect to earn a full year 2021 adjusted EBITDA margin of 23.7 percentage to 24.1 percentage. The above outlook includes our anticipation that our troughs of service as a percentage of revenues will remain roughly flat. We also expect to incur full quarter public company costs and a small increase to operating expenses as we increase our investments in our digital and innovation capabilities. And prepare for our teammates to return to the office. Thank you and I'm going to hand it back to Bryce. Before we take your questions.
Bryce Maddock: Thanks Balaji. Before we get to Q&A, I want to share TaskUs teammates story. As I briefly mentioned each year TaskUs offers an opportunity for teammates to apply to have one of their children's school tuition paid for by the company. We started this program which we call the TaskUs Scholarship Program to invest in the education of the next generation. The program which began in 2012 with just three scholars will send 755 children to great schools this year. Dehlia was a TaskUs teammate for nine years as a single mother in the Philippines she worked hard to care for her son John. Dehliawas able to send John to private school with the help of the TaskUs Scholarship Program. After he graduated from high school and university, John decided to move back home to care for his mother in retirement. Dehlia told John there was no better place to start his career than TaskUs. John applied and was hired. And today, John is a TaskUs teammates supporting a fast growing logistics marketplace. In his early 20s, John's already started saving for his own retirement through the TaskUs Retirement Program. Dehlia and John are great examples of the ways we aspire to improve the lives of our teammates all around the world. With that I will ask the operator to open the line for our question and answer session. Operator?
Operator: Thank you. [Operator Instructions] Please stand by we'll compile the Q&A roster. Our first question comes from Jason Kupferberg with Bank of America. You may proceed with your question.
Unidentified Analyst: Hey, guys, this is Cassie for Jason great quarter out of the gate. And thanks for taking my question. First, just wanted to ask about your full year guidance and your Q2 guidance. I know it implies a pretty minimal quarter-over-quarter growth, respectively for the third quarter and fourth quarter. You know from that kind of 50% plus you guys delivered in Q2, I just wanted to know, is that just an element of conservatism? Or are there other dynamics in play there?
Bryce Maddock: Cassie, thanks so much for the question. So clearly the year is off to a very strong start in the first half of the year, we saw organic revenue growth of over 53%. And we find a number of major contracts in the first quarter that ramped into the second quarter. That kind of early success can result in some difficult sequential quarter-over-quarter comps. But we feel very confident in today's guidance of over 50% revenue growth for the third quarter and full year organic revenue growth that's north of 47%.
Unidentified Analyst: Okay, super helpful. And just one quick follow up for me, then it's nice to see that the client concentration decreased. Just curious, I know you guys said the top one client was 27%. How, big was the top two client? And overall, are these top two growing much faster than the overall client portfolio? Are you kind of seeing growth being driven from sort of maybe the non-top call it 20 clients going forward? Thank you.
Bryce Maddock: Yeah, thanks again, Cassie. So, as I said our largest customer saw improved revenue concentration, which was 32% in 2020. In Q1 of 2021, it was 29% and then in Q2 of 2021, it was 27%. So while that client is continuing to grow very aggressively, the rest of the business is outpacing their growth. As far as our second largest client, they represented 12% of our Q2 2021 revenues, which is roughly consistent with where they were in Q1 of 2021 as well.
Unidentified Analyst: Okay, perfect. Thanks guys. Congrats again.
Operator: Thank you. Our next question comes from Puneet Jain with JP Morgan. Please proceed with your question.
Puneet Jain: Hey, thanks for taking my question and very strong results. This was easily the highest ever sequential increase in revenue for TaskUs. So given that, can you talk about your ability to replenish the pipeline and backlogs, specifically, pipeline for new clients? Given there was so much upside in this quarter?
Bryce Maddock: Thanks so much for the question Puneet. So currently, the pipeline is very strong. We're on pace to exceed the records that we set in 2020 for both new client wins, and win rates. As I said, on the call, we've seen very strong demand among our FinTech and retail and e-commerce customers in particular. And the recent wins and the pipeline momentum are giving us a lot of confidence as we begin to look at the next fiscal year. Clearly, as I said on the answer to the previous question, Q1 saw a few really massive wins that helped us scale into Q2, and our sales team is well aware that we need to go and replicate that success in the back half of the year.
Puneet Jain: Understood. And you added, like about 4,000 employees in this quarter, taking total to about 8,000 new employees in the first half. Can you talk about like if you are also seeing any challenges in the hiring market supply challenges, which lot of peers have talked about? It seems like your attrition was still below 2019. So what are you doing that is keeping attrition low and helping you hire in such large numbers, despite challenges elsewhere?
Bryce Maddock: Yeah, thanks for that question Puneet. In Q2, we had an on-time global hiring SLA of over 98%. And, as you pointed out, we added 4,000 net new positions, we added hundreds of new roles in the United States, and over 1,000 new roles in the Philippines and over 1,000 new roles in India. So we're really proud of the success of our recruitment organization. Ultimately, we think this comes down to our employer brand, which is, we believe amongst the strongest in the industry, in particular, in the markets that we've been in for a very long time, like the Philippines. We are seeing some recruitment challenges in particular in the United States. And that's something that we're being very vigilant as we head into the back half of the year.
Puneet Jain: Got you. Thank you.
Operator: Thank you. Our next question comes from Maggie Nolan of William Blair. You may proceed with your question.
Maggie Nolan: Thank you, congrats. You definitely saw strong performance across the board. But in particular, it seems like you saw some good growth within AI operations. I'm wondering, are there any new client additions in this segment or any other factors that are giving you confidence that you're building some good momentum in that segment?
Bryce Maddock: Maggie, thank you so much for that question. We've seen both organic growth inside existing customers for whom we're delivering aberrations, as well as some exciting new wins. We had an existing autonomous vehicle customer, where we were providing some consulting services, add our AI operation services. And our teams, there are now really helping to shape the future of self-driving cars, as we have done for other customers in the past. So it's very exciting segment to watch and obviously one that is growing very quickly for TaskUs.
Maggie Nolan: Okay, thank you. And then, historically you've focused on clients that are quite disruptive, often tech companies. And that's something that's distinguished you from your peers. As you're thinking about being more acquisitive, going forward. How important is a potential target company's client base, when you think about things like cultural compatibility and being able to deploy employees across different TaskUs accounts?
Bryce Maddock: Yeah, it's incredibly important. So we're looking to acquire businesses that will either expand our geographic delivery footprint, add specialized service capabilities or get as deeper into our existing end-markets. And obviously, we want these acquisitions to be accretive. So we're looking for assets that are as close to us as possible in terms of growth, profitability and digital work mix. But the thing that we absolutely will not compromise on is the culture. I've told the team that we're only going to do acquisitions that are culturally accretive and given those factors, we're going to be very selective about the acquisitions that we choose to make.
Maggie Nolan: All right, thank you so much, Great quarter.
Bryce Maddock: Thanks, Maggie.
Operator: Thank you. Our next question comes from Matt VanVliet with BTIG. You may proceed with your question.
Matt VanVliet: Yeah, thanks for taking the question, guys. And nice job on the first quarter of the gates here. Wanted to dig in a little bit in terms of some of the new business that you've won in the newer markets. And maybe if there were any deals to call out, whether in Colombia or in Greece, in addition to the India strength that you mentioned?
Bryce Maddock: Yeah. Thanks so much for that question, Matt. So we've seen really rapid uptake in Colombia, the market that we entered at the start of this year, and have signed some very exciting on demand delivery customers that were new to TaskUs, as well as adding Spanish language capabilities to existing TaskUs customers. In Greece, the same thing has happened, we've had multiple new clients enter the Greek market with us in Q2, some of those are new logos to TaskUs. But the vast majority are expansions from existing customers, we're looking to add European language capabilities.
Matt VanVliet:
-- :
Bryce Maddock: So Balaji do want to go first, and then I'll answer the second question.
Balaji Sekar: Yeah, absolutely. So I think that the second quarter was a very strong quarter from a sales perspective, nearly as strong as the quarter we saw in Q1. And we expect to see ongoing ramps from both existing and new clients that were signed in the second quarter. We're very confident in the guidance that we've provided that we will get to $705 million to $709 million in revenue this year.
Bryce Maddock: Yeah. And just to add on to what Balaji said, we have very good visibility, like you said, in terms of the closure that we had from a new business perspective in Q1 and the greater than 47 percentage growth that we're estimating we're starting with a pretty good -- we started the year with great visibility, and we're starting this quarter with great visibility too.
Matt VanVliet: Wonderful, thank you. Great job in the quarter, guys.
Bryce Maddock: Thanks, Matt.
Operator: Thank you. [Operator Instructions] Our next question goes from Dan Perlin with RBC. You may proceed with your question.
Unidentified Analyst: Yes, good evening. It's Matt on for Dan, congratulations on a nice quarter. When it comes to winning new business? Are you generally part of a sort of request for proposal process? Or is it clients coming to you? And if you could talk a little bit about what win rates look like in the quarter?
Bryce Maddock: Matt, thank you so much for that question. So TaskUs has long been seen as a disruptive outsourcing service provider. And we're often the first outsourced service provider that our fast growing technology clients turn to. So in those cases, there are typically not formal RFT processes. We may see competitive processes, but generally, we try to use our relationships to get in early and be the provider of choice as these fast-growing technology companies begin to outsource some of their specialized services. Increasingly, we are seeing our disruptive clients have grown to become public companies themselves. And with that maturation does come procurement teams and organizations that are dedicated to mitigating risk. So the biggest question that we've heard from those companies in recent years is actually, if we do business with you. What's to say, you're not going to get bought by one of the traditional players. And so one of the nicest things for us in going public is that it is a communication to our customers and to the market that we absolutely intend to remain independent, and is really helping us to win business from some of those newly public companies. As far as win rates, we're going to break out both new client wins and win rates on an annual basis. But as I said before, we're on pace to exceed our record setting new client wins and win rates from 2020.
Unidentified Analyst: Excellent. And then just a quick follow up with [indiscernible]. What was the FX impact on the revenue growth this quarter, you mentioned that the peso hit on the cost of services as well as anything on the revenue line?
Balaji Sekar: Yeah, so I will take that. So the -- fortunately for us, majority of our revenues is built in U.S. dollars. So we actually do not see any ForEx impact from a from a revenue perspective. But we do see impact from a cost perspective when we do the translation from let's say, as an example, peso to U.S. dollars. And that was the peso appreciated by about 4.5 percentage year-on-year from Q2 of last year to Q2 of current year. So that did that did impact our cost of service line, and also SG&A as we kind of translate those, but there was no impact from a revenue perspective.
Unidentified Analyst: Okay, thank you very much.
Bryce Maddock: Thanks, Matt.
Operator: Thank you. [Operator Instructions] Our next question comes from Dave Koning with Baird. You may proceed with your question.
David Koning: Yeah. Hey, guys, congrats on a huge quarter.
Bryce Maddock: Thanks, Dave.
David Koning: Yeah. So I mean, it looks sequentially like you grew as much as you did revenue just a few years ago, per quarter, you grew that much in one quarter. So it's pretty impressive. But I guess, when we think about how big this year is going to be, can you still do your 25% growth half of what just seems like such a massive comp this year?
Bryce Maddock: Absolutely. We guided in our IPO process to think about 25% year-on-year revenue growth in the medium-term. And we absolutely intend to deliver on that, for 2022 and beyond.
David Koning: Got you. All right. Great. And then I guess, one just quick kind of financial thing that what was the normalized diluted share count in Q2, it got a little hard to tell, because of the GAAP loss, and then, I guess, what should it be in Q3 as well?
Balaji Sekar: Yeah, so let me just pull up that number. Just give me one minute. So the nominal share count, as of the end of June will be about 92 million 9,57,493. But in terms of the additional stock grants that we would be giving in the following quarter, that number is going to change. So that is something is not currently estimable, because the diluted shares will change once we start granting new shares. But we'll be in that -- I'd probably say in that ballpark.
David Koning: Okay. that's great. And if I can just sneak one more in it looks like Q4 margins kind of imply 22%, 23%? Is that a good place to kind of start for next year just to think about 22%, 23%? And then maybe grow a little bit from there in 2023? Or I'm sorry to 2022?
Bryce Maddock: Yeah, so let me answer that question in two parts. One is in terms of what I mentioned earlier, as far as the EBITDA in H2 is concerned, we're going to be incurring full quarter public company costs in Q3, and Q4, which we did not incur in Q2, it was only just a couple of weeks that we went public in Q2. And the second is we're going to incur some expenses in investments in digital and preparing your teammates to go back into the office. But I believe that in a short-term perspective, a 23% would be a good, adjusted EBITDA number for this business to deliver. And for this year, at the midpoint, we will deliver about 23.9 percentage in 2021.
David Koning: Got you. Yeah, great job. Thanks so much.
Operator: Thank you. Our next question comes from James Faucette with Morgan Stanley. You may proceed with your question.
James Faucette: Thank you so much, and apologies for the background noise if it's loud, but I wanted to ask, you mentioned kind of recruitment challenges in the U.S. and are you seeing any potential for wage inflation and how are you thinking about your ability to pass that on to end customers? And if -- what is your ability to do that and what kind of lag there may be if you do have some wage inflation?
Bryce Maddock: Yeah, Jim, it's a really important question. So we've got a robust process to ensure that our employee wages are competitive. With that said, we aim to not complete purely on wage instead, TaskUS we aspire to create a best-in-class employee experience, which includes differentiated benefits like our health care program, retirement plan and our world class facilities. So we have seen wage pressure in the United States and we've got a wage review an increase process which is designed to respond to those pressures in every geography that we're operating in. We do have [collar] provisions in the contract with the vast majority of our clients, where we're able to pass along the wage inflation in those markets in most cases. And it is important just to say again, that in the second quarter, we achieved an on time hiring SLA of 98%, globally. And we actually exceeded that number in the United States.
James Faucette: It's good to hear and then separately, I wanted to ask just about acquisitions, you kind of mentioned that you're looking at doing different types of acquisitions, including geographic expansion. But I wonder if you can give a little color on the types of capabilities you may be looking to add as well?
Bryce Maddock: Yeah, one of the areas we're seeing a lot of growth in at the moment is the trust and safety. And by that we're sort of bringing together the financial service work that we're doing in the areas of anti-money laundering and know your customer with some of the work that we're doing with client safety lines, and general investigations we work for with marketplaces, doing fraudulent good investigations, and even in some cases, financial crimes investigations. So we're very interested in that general area as the next line of specialized service that we'll be able to break out. So here the type of companies that we would look to acquire would be specialists in some of those services.
James Faucette: That's great. Great, color. Thanks a lot.
Bryce Maddock: Thanks, Jim.
Operator: Thank you and I'm not showing any further questions at this time. I would now like to turn the call back over to Bryce Maddock for any further remarks.
Bryce Maddock: Well, in closing, I just want to again, thank all of our TaskUs teammates all around the globe who have worked tirelessly to deliver what we believe to be a very strong first quarter as a public company. I'd like to thank all of our new shareholders for joining us on this journey. And we will see you all next quarter for our Q3 Investor Call.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.